Operator: Greetings. Welcome to the Gannett Company Incorporated Q4 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Matt Esposito, Head of Investor Relations. You may begin.
Matthew Esposito: Thank you. Good morning, everyone and thank you for joining our call today to discuss Gannett's fourth quarter 2024 financial results. Presenting on today's call will be Mike Reed, Chairman and Chief Executive Officer, Doug Horne, Chief Financial Officer and Kristin Roberts, Chief Content Officer. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call as it provides you with additional detail on this quarter's performance and our full year 2025 business outlook. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements made during this call are or may be deemed to be forward-looking statements as defined under the U.S. federal securities laws, including those with respect to future results and events and are based upon current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement as well as the risk factors described in Gannett's filings made with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. Please keep in mind, all comparisons are on a year-over-year basis unless otherwise noted. In addition, we will be discussing non-GAAP financial information during the call, including same-store revenues, free cash flow, adjusted EBITDA, adjusted EBITDA margin and adjusted net income attributable to Gannett. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any interest in Gannett. The webcast and audiocast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without our prior written consent. With that, I would like to turn the call over to Mike Reed, Gannett's Chairman and CEO.
Mike Reed: Thank you, Matt. Good morning and thanks for joining our fourth quarter earnings call. I am pleased to share with you details on our fourth quarter and 2024 full year performance and how we expect to build on our momentum in 2025. 2024 represented an important year of progress for Gannett. We executed strongly against our strategy and achieved a meaningful improvement in our key metrics. But more importantly, we set the foundation for anticipated long-term sustainable growth. We believe a real transition is underway and our confidence is supported by several milestones that were achieved for the full year of 2024, including significant improvement in same-store revenue trends, full year growth in adjusted EBITDA, adjusted net income attributable to Gannett and free cash flow and a successful debt refinancing that simplified our capital structure, extended our debt runway and reduced potential future share dilution. It's important to take a moment and recognize how much we have accomplished in total across the past two years. Reflecting on our progress, especially for those following along with the supplement, please refer to Slide 6. We've made significant strides across our key metrics. As highlighted on Slide 6, over the past two years, we have expanded our total digital mix from 35% to 44%, improved our bottom line by $52 million and increased our cash provided by operating activities and free cash flow by approximately $60 million. Overall, the progress highlighted in our results underscores the traction we have gained and further validates our strategic plan. In 2024, adjusted EBITDA increased for the second consecutive year, while we simultaneously invested in our digital initiatives aimed at funding future growth. Our adjusted EBITDA growth, combined with a continued focus on optimizing our working capital, also resulted in our second consecutive year of free cash flow growth. Adjusted net income attributable to Gannett rose to $25 million, an improvement of $66 million versus a net loss of $41 million in the prior year. We also improved our capital structure and maintained a healthy balance sheet, evidenced by our solid cash position at year-end. We are excited to carry this momentum into the year ahead. We expect 2025 to be our third consecutive year of adjusted EBITDA and free cash flow growth, along with ongoing improvement in our top line trends. As a result, on a same-store basis, we are aiming to hit the inflection point to positive revenue growth during the year. At the core of our momentum is the execution of our digital revenue strategy. In 2024, total digital revenues increased 5% to approximately $1.1 billion. Three out of our four digital revenue categories experienced year-over-year growth and as a result, total digital revenues increased to 44% of total revenue, up from 39% last year. In 2025, our expectation is that total digital revenues will make up 50% of our total revenue during the year, growing between 7% and 10% on a same-store basis compared to 2024. And importantly, we'll begin to outpace the secular declines we see in our legacy print revenue. We have seen solid progress across several of our digital revenue streams. And in the fourth quarter, total digital revenues continued to grow over the prior year period. One factor that has become evident in our transformation is the importance of scale. Recall that we have the largest digital audience in the nation, larger than any other content creator in the media space according to Comscore, with 200 million average monthly unique visitors coming to our platform in both Q3 and Q4 and growing 7% versus prior year in Q4. This significant digital audience outpaced national TV brands, national publishing brands and certainly the local publishing brands. And as we have built scale, we've also improved our engagement with that audience as we have achieved another quarter of double-digit page view growth compared to the prior year period. Over the last 12 months, we have successfully grown this audience at scale. And moving forward, our focus will be on driving higher engagement and increasing the monetization of that audience. We believe there is significant potential to grow our total digital revenues by further personalizing the consumer journey through strategic tools and tactics, along with increasing the engagement, loyalty and monetization of those consumers that come to our platform. This is expected to unlock greater revenue opportunities through digital advertising, digital-only paid subscriptions, e-commerce and video which presents a major opportunity for us. Looking specifically at Q4, digital-only paid subscriptions continued to grow year-over-year. Subscription volumes also rose sequentially every quarter in 2024. In Q4, digital-only subscription revenue and digital-only average revenue per user experienced another quarter of double-digit year-over-year growth. We expect digital-only subscription revenue to be a meaningful contributor to the expected overall digital revenue growth in the near and long term. Opportunity remains as our penetration rates are below benchmark and our ARPU is still below market rates. So, we see potential to unlock additional value through pricing optimization, leveraging our full product portfolio and leaning in on local growth. Couple that with the outstanding work the content team has done to provide high-quality journalism and broader content experiences and we believe we have a strong value proposition for both our consumers and advertisers. We are also strengthening the alignment between our content and consumer teams to capture the significant potential to enhance retention and engagement as well as drive growth in our local core businesses. To do this, we have repositioned our Consumer division under Kristen Roberts' leadership. Since joining us as our Chief Content Officer, Kristen's content organization has made a remarkable impact on the Domestic Gannett Media segment, evidenced by significant increases in audience growth, page views and readership per story. As we head into 2025, we are confident we can replicate this success within our Consumer division. I will now hand it over to Kristen to recap the team's accomplishments in 2024 and what you can expect in 2025. Kristen?
Kristin Roberts: Thank you, Mike. 2024 was a transformational year for the content team. We executed on our strategy to rapidly expand our audience and content, amplify our journalism and drive diversified revenue streams. And importantly, we've proven that content can be an engine for growth at Gannett. Audience growth was at the heart of our transformation in 2024. By listening to our audience and studying their behavior on our platforms, we gained clarity on the content our readers desire. We met them in the middle with trusted news and information. We're listening to what people want and we believe our strategy is working. We generated 12 consecutive months of at least one billion page views which we view as the baseline for 2025 and expect to grow upon. Equally impressive, the USA TODAY NETWORK ended the year as the leading news and information provider in America as measured by Comscore. None of this was by chance. It was a direct result of our collaborative work to anticipate and deliver the journalism and information that our readers, viewers and listeners wanted. The next step of our transformation is engagement, a crucial element of engaging our audience involves understanding their preferences and creating standout experiences around the topics they love on their preferred platforms. This deepens their connection with our products and entices them to take another step in their journey. Initiatives such as expanding our sports content and scaling our video strategy will be at the top of our list. Let's briefly walk through each of these. We have built what we believe is one of the strongest sports coverage teams in America through ONETeam Sports. The power of our coverage was evident during the college football and NFL seasons, where the USA TODAY NETWORK generated over 390 million page views, an increase of 33% compared to last season. In 2025, we will continue to meet readers where they are to deliver highly engaging sports news and information. We also have ambitious plans to become the leading force in women's sports coverage. Through the USA TODAY NETWORK, we reach more women's sports fans than any of our competitors and we expect to capitalize on that opportunity. We're building an expert content team to drive our push in women's basketball, soccer, softball and beyond. Overall, we believe sports continues to present a promising opportunity to expand our audience, create personalized and relevant experiences and develop journeys that are expected to maximize digital revenue per user and per visit. Another key focus will be expanding our success in video content. Our audiences tell us in so many ways that they want more video journalism and visual content, both on our sites and on other platforms, we're here to deliver with editorially relevant and high-quality visual journalism that meets the mission and extends our reach. We have already seen success from this initiative in 2024 with significant gains in video programming and views from major sporting events such as the Kentucky Derby, Indie 500 and College World Series. These results underscore the power of sports video on our network. Now with March Madness quickly approaching, we plan to expand this strategy, both in our local markets and nationwide. Importantly, video content meets the habits of our audience while creating inventory with higher advertising CPMs. To recap, our progress in 2024 was a total team effort and I want to express my sincere gratitude to the entire team. The most exciting part is that we're just getting started. We have brought together two of the largest teams within Gannett with the intention of increasing efficiency while also maximizing the monetization opportunities of our content. Back to you, Mike.
Mike Reed: Thank you, Kristen. It's exciting to see the significant audience growth in 2024 and to discuss several of the key initiatives underway to increase engagement and enhance the overall monetization of our content platform. Now turning to our DMS business. In Q4, our performance continued to be influenced by the macro environment, along with higher churn among our customer base. We are acutely focused on better serving our customer base across our product suite and are encouraged by the strategic plans and initiatives already underway which we believe will return our DMS business to growth during the year. We understand where our growth opportunities lie and we have the ability to win. Some of the initiatives that reinforce our optimism for 2025 include improving underlying account performance by driving high-quality leads while minimizing cost per lead for our clients, improving the client experience through a more nimble, realigned client success organization and through utilizing tools such as DMS Zero [ph] to more quickly ramp new clients' budgets and enhancing client retention through a more robust and stickier DMS product suite. This includes launching new features and capabilities to enhance product fulfillment while further leveraging our AI-powered solution Dash, to optimize campaigns and drive stronger commercial outcomes. As we scale Dash and integrate more deeply into our customers' operations, we expect to solidify our position as an indispensable digital partner. Furthermore, we plan to expand our total addressable market by strategically moving upstream to target large-sized businesses. These businesses are seeking integrated solutions. And given our proven success in managing multi-location accounts, we believe we are well positioned to meet that demand. As we enter 2025, we remain extremely confident in the large opportunities related to our DMS business and we look forward to restoring our DMS business to growth during the year. Turning to partnerships. In Q4, our partnership revenue continued to grow. However, it was tempered by Google's updated and fluid search policies and algorithm changes which negatively impacted many media companies, Gannett included. Working within the revised policies, we leveraged the vast collection of content produced within our network to continue to drive leads and audience to our partners. Search will always be an evolving space and Google's sudden change reinforces the importance of maintaining flexibility in an evolving market. We've heard from our partners the positive impact our speed to market with evolving solutions has had on their business. And ultimately, it's highlighted the opportunity of an e-commerce business for us built on the content we already produce. E-commerce and affiliate marketing are currently smaller categories for us but we believe we are well positioned to expand this revenue stream over time. We have a vast portfolio of content that resonates deeply with our audience. Our content is not just informative, it's relevant, essential and highly valuable. Our focus is on creating new ways to monetize the content we already have on our platform. The recently announced bundled content offering with Reuters is a perfect example. The unique offering provides other media brands and publishers with ready-to-publish news from USA TODAY and the USA TODAY NETWORK at a local, regional, state and national level as well as content, including breaking news, entertainment, sports and lifestyle coverage delivered in a single news feed. This aligns well with our existing digital syndication relationships and we will continue to seek out additional opportunities to smartly monetize the vast array of content we already produce. As you can see from our results, we made excellent progress executing on our strategy to drive our digital transformation in 2024. While transformations such as ours are rarely in a straight line, we continue to make substantial progress on our evolution in key areas. We expanded our digital audience, improved engagement, grew the monetization of our audience and drove significantly improved financial results over the prior year. We expect top line growth on a same-store basis as we progress through 2025 and our solid balance sheet and extended debt maturities are expected to give us the flexibility needed for the coming years. In addition, we have invested in key growth areas that are expected to drive the speed and execution of our transformation. We believe we have a great opportunity as an organization in 2025 and we look forward to capitalizing on it. With that, I will now turn the call to Doug to provide additional detail and color around our 2024 fourth quarter financials as well as the details on our full year 2025 business outlook. Doug?
Doug Horne: Thank you, Mike and good morning, everyone. As Mike mentioned, we are pleased with the progress on our overall revenue trends during 2024, our success at navigating the market dynamics along the way and the significant progress achieved against our strategic priorities. For Q4, total operating revenues were $621.3 million, a decrease of 7.2%. As a reminder, our proactive decisions to sell or shut down nonstrategic assets in 2024 impacted reported revenue in Q4. Importantly, these actions align with our long-term strategy and did not negatively affect our adjusted EBITDA performance. On a same-store basis, revenues decreased 5.5% which was relatively in line with Q3 trends. As we look ahead, our execution remains focused on cultivating sustainable revenue growth, growing our digital audience and customer base, increasing our monetization and continuing to stabilize our print business. As we continue to execute on these fronts, we are targeting for the pace and magnitude of our revenue trend improvement to accelerate. Adjusted EBITDA totaled $78.2 million in the fourth quarter, an increase of 5.5% or $4.1 million. Adjusted EBITDA margin was 12.6% in Q4, a 150 basis point improvement compared to the 11.1% in the prior year period. The growth in adjusted EBITDA was driven by the improved year-over-year revenue trends and strategic cost controls. On the cost side, we continue to align our expense structure with recent revenue trends. In Q4, operating expenses decreased approximately 6%, reflecting our commitment to prudent cost management. We believe we have additional opportunities to modulate expenses and improve efficiency by further simplifying our operating model, continuing to improve our technology infrastructure, utilizing lower-cost sources of labor and utilizing our third-party relationships to create a more variable cost structure. On the bottom line, we ended the fourth quarter with a net income of $64.3 million and an adjusted net income of $38.3 million, reflecting significant year-over-year improvements of $87.2 million and $56.5 million, respectively. Total digital revenues in Q4 reached $280.4 million, up 1.2% or 3.4% on a same-store basis and accounted for 45.1% of total revenues. Digital advertising increased approximately 2% in Q4, driven by audience page view growth. Moving forward, we are confident that a renewed focus on premium digital inventory and enhanced monetization of our page views will drive stronger growth in 2025. In Q4, our digital-only subscription business continued to perform well with growth observed across all key metrics. Digital-only subscription revenue rose 17% and digital-only ARPU increased approximately 13% in Q4. Importantly, we achieved these results while also growing digital-only paid subscriptions, both sequentially and year-over-year. The results in print and commercial revenue also saw promising improvements in Q4, driven by the actions we have implemented to enhance the subscriber experience. The conversion to mail delivery has proven to be a consistent and effective delivery model to our customers in certain markets. In 2024, we successfully converted 55 markets to mail delivery and we expect more market conversions in 2025. Mail delivery provides a consistent and reliable customer experience. And on average, it is approximately 50% of the cost compared to regular carrier delivery. Looking at the Domestic Gannett Media segment. In Q4, adjusted EBITDA in the segment was $58.7 million, up 4.7% over the prior year period. Our adjusted EBITDA margin expanded by 160 basis points year-over-year to 12.2%. Revenue trends in Q4 on a reported basis continued to reflect the sale and unwinding of certain nonstrategic assets. Turning to Newsquest. For Q4, adjusted EBITDA in the segment was $11.2 million, while adjusted EBITDA margins totaled 19.2%. Despite a more challenging operating environment in the second half of the year, we are encouraged by the strong operating performance in Q4. In our Digital Marketing Solutions business, total core platform revenue in the quarter was $116.2 million. Adjusted EBITDA for the segment totaled $11.4 million, representing a margin of 9.7%. We had approximately 13,900 core platform customers with a core platform ARPU reaching approximately $2,800, an increase of 4.7% over the prior year. As Mike highlighted, our 2025 strategic plan prioritizes optimizing account performance, enhancing the client experience and improving retention. Let's now shift to the balance sheet. At the end of the fourth quarter, our cash balance stood at $106.3 million and our outstanding net debt was approximately $1 billion. We generated $3.8 million of free cash flow during Q4 which reflects approximately $6 million of accelerated cash interest payments driven by the Q4 refinancing. Despite this timing of interest payments, we delivered $58.4 million in free cash flow for the full year, an increase of 3.5% over the prior year. We ended Q4 with approximately $1.11 billion of total debt. And for the full year, we repaid $73.5 million. As previously announced, in Q4 we successfully completed a comprehensive debt refinancing that extended our maturities and significantly reduced potential future dilution from the impact of our convertible notes. Our first lien net leverage of 2.7x in Q4 was in line with our expectations given the repurchase of convertible notes with funds from the first lien term loan. We believe the benefit of extending maturities and reducing potential future dilution significantly outweighs the change in our first lien net leverage. In Q4, we completed three real estate and nonstrategic asset sales which generated $1.7 million in proceeds, bringing our total asset sales for the year to $21 million. Yesterday, we announced that we have entered into an asset purchase agreement with Hearst Corporation to divest the Austin American-Statesman from our portfolio. This transaction is anticipated to close in the first quarter. Hearst has a stellar reputation in the publishing industry and we believe the outstanding team in Austin will be a great fit as part of the Hearst portfolio. This strategic sale, along with proceeds of our other nonstrategic asset sales supports our continued debt reduction. As a result, we expect to pay down an incremental $50 million to $60 million of debt in the first half of the year. In 2025, we expect total asset sales to be in the range of $60 million to $70 million which, combined with our scheduled quarterly amortization payments, supports our priority of continued debt reduction. Turning now to guidance. In 2025, we expect another year of adjusted EBITDA growth over the prior year, driven by improving revenue trends and ongoing cost management. Total digital revenues are expected to grow between 7% to 10% on a same-store basis. Total revenue declines will be in the low single digits on a same-store basis. Q1 same-store revenue trends are expected to be in line with the fourth quarter of 2024 with sequential improvement starting in the second quarter. Importantly, we expect same-store revenue trends to begin growing on an overall basis as we near the end of 2025. While we anticipate adjusted EBITDA growth for the year, we expect a year-over-year decline in Q1, followed by steady improvement and meaningful growth in the back half of the year. In 2025, we will continue to make further investments in our technology infrastructure and in our product portfolio, driving an increase in capital expenditures year-over-year. This is expected to have a $10 million impact on free cash flow for 2025. In Q1, free cash flow is expected to decline on a year-over-year basis. However, for the full year, we are expecting growth in excess of 40%. It is also important to note that for 2026, we remain confident in the targets we previously outlined after factoring in the interest impact of the 2024 refinancing on cash flow. The underlying drivers of our long-term growth strategy remains strong and we continue to execute against those priorities to drive our digital transformation. Our progress and results in 2024 serve as a testament to the strength of our strategy, continued prudent cost management and our seasoned management team. We have shown a consistent ability to grow audience, increase digital revenues and strategically modulate our cost structure to positively impact adjusted EBITDA and free cash flow. We are excited about our operational and financial plans for 2025 as well as what we believe to be the opportunity to create meaningful value for both our shareholders as well as the communities that we serve. I will now hand it back to the operator for questions and then we will go back to Mike for some closing thoughts.
Operator: [Operator Instructions] Your first question for today is from Giuliano Bologna with Compass.
Giuliano Bologna: Congrats on the continued execution on the long-term plans here. One thing I was curious about asking you is when you look at the 7% to 10% same-store digital growth outlook for 2025, I think you guys were at 5.8% in 2024 and DMS was effectively flat. I'm curious when you look at the 7% to 10% range, how much of that is flat to up outside of DMS versus DMS coming back up into positive territory? And then how should I think about the contribution from those two different parts in driving kind of a reacceleration in the digital revenue growth rate?
Mike Reed: Yes, Giuliano, thanks for the question. We -- there's a combination of both accelerated digital advertising growth as well as DMS growth. The DMS growth would be more of an enhancer towards the last two quarters of the year and the digital advertising growth would be more consistent throughout the year. But I think overall, moving from 5.8% to 7% to 10% is going to be a combination of both digital advertising and DMS. And it's hard to say exactly which one will be the dominant one but we expect, as I said, digital advertising to be more of an enhancer all year versus DMS which will be an enhancer in the back half of the year.
Giuliano Bologna: That's very helpful. And then going back to the asset sale and the debt paydown topic. There were a couple of asset sales that were going to be pushed from 4Q into 1Q and then there's also the announcement of the sale to Hearst. I'm curious, when we think about kind of the aggregate of those, assuming those things close in 1Q, is there a rough sense of like how much that could be in total? And I would assume you'd use all the proceeds to pay down debt.
Mike Reed: Yes. Yes, we'll use all the proceeds to pay down debt. I think 1Q, it's probably in the $50 million to $60 million range. And then when you look at the first half of the year, it's more like $60 million to $70 million.
Giuliano Bologna: Got it. That's very helpful. Then you obviously put out some commentary around asset sales. I'm curious when we think about the asset sales so far, is there any -- is there a rough sense of what the revenue impact is for kind of digital versus nondigital for the existing sale and then how impactful that trend could be for other asset sales throughout the year?
Mike Reed: Yes. For the sale of Austin, their business was very reflective of our overall business. So, kind of that 45-55 mix of digital and print. The other asset sales, Giuliano, that we're working on are primarily around kind of real estate nonstrategic stuff. But as you can hear from our remarks, not only today but on all of our quarters, one of the key components to our long-term strategy is the scale we're building in the digital world. So, while we will always take inbounds on properties at potentially high multiples, we're not actively out there trying to sell anything because our long-term strategy is dependent upon the scale that we're building on the digital side. So, I wouldn't -- we're not actively out there trying to market things but certainly, we look at inbounds. And as we said, we're only going to sell assets that come with a very compelling multiple that is accretive to our shareholders. I hope that answers your question.
Giuliano Bologna: It does. That's very helpful. And thinking about the debt paydowns, it kind of implied the bit of an acceleration in debt paydowns with asset sales specifically in the first half of the year. I'm curious, is there a point at which it would make sense to consider working on a different capital structure set up, whether it's hopefully getting a better cost on the term loan or moving into a hybrid of a different term loan and some notes and/or trying to work on reducing the dilution going forward. I'm curious how you're thinking about that and like if there are any events that would help from a deleveraging perspective on the front end?
Mike Reed: Yes. Look, I think we're -- first of all, with the asset sales that Doug mentioned in his comments today of potentially $60 million to $70 and then combine that with our regular way amortization and our excess cash flow that we'll generate this year, we expect pretty significant debt paydown well north of $100 million. And as we get towards the end of the year, our first lien net leverage should be down closer to 2x. And that's probably a good tipping point to go to maybe the more regular way bank markets for refinancing. And then our goal with the converts that remain is to try to do something similar to what we did this past year where we're able to convert those at some premium into debt and reduce further dilution. We're not quite there yet. That's probably not a 2025 event but that would be the goal. So, refinance the current first lien debt into a lower cost of capital structure and then tackle the second lien converts.
Giuliano Bologna: Very helpful. And then one last one on inevitable topic to ask about. But I'm curious when you think about the -- I guess, you obviously have your case against Google and then there's the DOJ case and there's also other attorney generals. I'm curious if there's any update or any perspective from your side around the potential timing of a ruling in that case or how you think that impacts your case?
Mike Reed: Yes. Well, the timing of the ruling on the DOJ case really doesn't impact our case. Our case is proceeding along as we expected. Information has been shared back and forth. Expert witnesses have been hired and that's all proceeding just as we planned. We feel as good about our case today as we have all along. So, nothing changes there. The timing of the DOJ case, as I said, doesn't impact us. We also don't believe that the timing of the ruling shows any kind of weakness or anything like that. We think the DOJ put on a strong case and we expect we expect the DOJ to have a favorable ruling. But obviously, that -- we haven't seen anything there yet. The other thing that's coming around the corner is the Texas case against Google in the same -- for the same ad tech antitrust issue is going to trial late in the first half of this year and that's Texas and 17 states. So, we're kind of excited to see that get going, too. But nothing's changed on our end and things are on track and we feel good about our position here.
Operator: Your next question is from Matt Condon with Citizens.
Matthew Condon: My first one is just back on the asset sales. Mike, it sounds like you aren't looking proactively to sell off any more trophy assets unless something comes in with the right multiple. But maybe can you just remind us where are we as far as what assets are left from the nonstrategic portfolio that you think that you can sell off here, not only in 2025 but in 2026 and beyond?
Doug Horne: So this is Doug. First, we definitely agree with your kind of first point there in terms of marketing other properties. I mean it definitely is really dependent on a facts and circumstances basis and has to be kind of at a premium relative to our implied trading multiple. With regard to other asset sales, we gave the information this morning about $60 million to $70 million for the year. The vast majority of that relates to Austin and then there is some component of real estate that we expect to sell during the year. So, those are the biggest components as we look at this year. Going further out, I would say that we're at the tail end of that real estate pipeline. We still have some properties. And as we continue to optimize our footprint, we'll generate some new properties for that pipeline. But it will primarily be real estate as we move forward.
Matthew Condon: Great, that's super helpful. And then, my second one is just on -- can you contextualize the opportunity with Reuters and the bundled content offering? Is there anything you can provide in the size of budgets from local publishers and broadcasters that are available to license your content?
Mike Reed: Yes. Matt, it's -- I would characterize the opportunity over the next couple of years as kind of a low to mid-single-digit millions type opportunity. Over the long run, depending on our offerings and where we can expand through with Reuters distribution in combination with USA TODAY, it could get bigger. But right now, I'd think about it more in that low to mid-single-digit millions type opportunity.
Matthew Condon: Great. And then just a final one for me. Can you just talk about the key levers that you guys have at your disposal for 2025 for growing digital subscriber growth? Just yes, what are the key levers there? And how do you think about pushing that going forward?
Mike Reed: Yes. Matt, it's primarily through the personalizing the experience by understanding when consumers come to our platform, each individual consumer, what are they engaged with, what do they spend the most time with and how can we use our vast array of content to continue to serve more personalized experiences to that consumer which will lead to, we believe, better -- or better conversion from users to paid subscribers. And then really, one of the things we mentioned in the earnings call was really going back and doubling down on the work we're doing in local markets. And so, with more focus on local content creation, that's listening to the data on what consumers are using, what are they engaging with, personalizing that experience and having a broader set of content that we understand from the data is what consumers want and then making that more personalized experience, we believe will accelerate the local subscriber paid -- the local paid subscriber numbers. So, it's really a data play and a personalization play.
Operator: We have reached the end of the question-and-answer session and I will now turn the call over to Mike for closing remarks.
Mike Reed: Yes. Thank you. So we are entering 2025 with a great deal of optimism. And as we do, I just want to recap a few key points from 2024 that lead to that confidence we're carrying into 2025. We delivered on the overall revenue and profitability targets we set at the start of 2024. We grew adjusted EBITDA and free cash flow for the second consecutive year. We drove a marked improvement to adjusted net income which increased $66 million over the prior year. Our same-store revenue trends improved significantly to down 5.1% from down 8.6% in the prior year. 2025 is a pivotal year in that we have plans to reach the inflection point. And beyond that, we see sustainable revenue growth as a foundational shift in the trajectory for Gannett. Our same-store total digital revenues grew 5.8%. That was a significant improvement versus a 1.4% growth in 2023 and total digital revenues as a percentage of total revenue increased to 44% in 2024 versus 39% in 2023. And we have industry-leading scale with proven customer engagement metrics which gives us a tremendous revenue opportunity when you think about our audience. And so, we're really excited about that. And I'll leave you with this thought. Transformations are not easy but the payoffs can be tremendous. And when you reflect on Slide 6 which in the supplement which we called out early in our remarks today, you can see the progress we've made over the last couple of years on this transformation across all important metrics. And what we're really excited about and we're delivering to you today is we expect to improve again across all those metrics in 2025. So, we feel good about where we are in the journey and are excited about what we can deliver again in 2025. So, thank you for joining us today and we look forward to updating you again at the end of the first quarter.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.